Operator: Good morning, and welcome to the Dover's Second Quarter 2022 Earnings Conference Call. Speaking today are Rich Tobin, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and Chief Financial Officer; and Jack Dickens, Senior Director of Investor Relations. [Operator Instructions] As a reminder, ladies and gentlemen, this conference call is being recorded, and your participation in prior consent the recording of this call. If you do not read these terms, please disconnect at this time. Thank you. And I would now like to turn the call over to Mr. Jack Dickens. Please go ahead, sir.
Jack Dickens: Thank you, Emma. Good morning, everyone, and thank you for joining our call. An audio version of this call will be available on our website through August 11. The replay link of the webcast will be archived for three months. Dover provides non-GAAP information. Reconciliations between GAAP and adjusted measures are included in our investor supplement and presentation materials, which are available on our website. Our comments today will include forward-looking statements based on current expectations. Actual results and events could differ from those statements due to a number of risks and uncertainties, which are discussed in our SEC filings. We assume no obligation to update our forward-looking statements. With that, I will turn the call over to Rich.
Richard Tobin: Thanks, Jack. Good morning, everybody. Let's start with the performance highlights on Slide three. Our team delivered a strong second quarter performance, which related to record quarterly revenue and sequential year-over-year earnings growth. Consolidated organic revenue growth of 7% in the quarter as our businesses continue to capitalize on strong backlogs and pricing actions continue to take hold. We believe our ability to execute and provide needed capacity in today's challenging environment has led to noteworthy share gains in multiple markets, which is positive for our continued growth. Components shortages and COVID lock downs and China did negatively impact shipping volumes and consequently efficiency and fixed cost absorption and several businesses during the period, despite these difficulties, as well as FX headwinds are absolute segment profit increased year-over-year, and operating margin improved sequentially in the quarter driven by cost controls good volume and meaningfully improving price cost dynamics. Our strong balance sheet provides flexibility for value creating capital allocation initiatives. We're investing in capacity expansions and productivity improvements across many of our operating companies to capitalize on secular revenue growth opportunities, capture market share and drive improvements in operational performance. The recently-announced Malema acquisition will enhance our biopharma business closed on July 1, and we continue our pursuit of attractive bolt on acquisitions. We also repurchased $85 million worth of shares in the second quarter will continue to proactively evaluate capital deployment alternatives through the remainder of the year. Our strong backlog and constructive demand outlook and execution playbook position as well to deliver growth in revenue and earnings amidst an increasingly uncertain macroeconomic backdrop. We are maintaining our 2022 adjusted full year guidance of $8.45 to $8.65 per share. I'll skip slide four which shows the detailed quarterly results. Let's move on to Slide five to discuss segment performance. Engineered products revenue was up 19% organically in the quarter on broad base strength across the portfolio in major geographies as well as pricing actions. Margins were up 130 basis points sequentially, and we expect the trend to continue through the second half as price cost spread continues to roll forward. Clean Energy and Fueling volumes are driven by strength in Clean Energy components vehicle wash, and below-ground fueling components offset by the expected roll off of EMV related demand in North America, which peaked in the comparable quarter last year. Margins in the quarter were down year-over-year on lower volumes and constrained inputs and to a certain extent mix. The sequential margin improvement was significant, however, at 410 basis points versus last quarter driven by improving cost dynamics and product mix. In Imaging & ID volumes and our core marketing and coding business were constrained by electronics and other input shortages as well as COVID lock downs in China is offset growth in our serialization of brand management software businesses. FX is a material negative headwind to absolute revenue profits in the segment, given its large base of international revenue. Q2 margins and Imaging & ID were impacted by lower volumes and production stoppages in Asia, but improved sequentially. The team has done a good job in cost containment and finding alternative suppliers to alleviate supply chain constraints and we are confident about good margin conversion in the second half. Pumps and Process Solutions posted a 7% organic growth -- strong double digit growth in our core non-COVID biopharma business, as well as robust growth in medical and thermal connectors, industrial pumps polymer processing and precision components.  Operating margin in the quarter remains robust at 31% plus despite a mix shift towards industrial components. Top line and alignment and sustainability technologies continue to be strong, posting 11% organic growth on solid volume in heat exchangers and beverage can making as well as pricing across all businesses. Volumes and food retail were constrained by supply chain challenges which negatively impact cost efficiency and will result in shipments pushing out into Q4. Comparable and sequential margins were up in the quarter on better mix and price costs, though partially offset by production, efficiencies, and input shortages. As you can see we're marching towards our mid-teens operating margin target in this segment. I'll pass it on to Brad here.
Brad Cerepak: Thanks, Rich. Good morning, everyone. Let's go to Slide six. The top bridge shows our organic revenue growth of 7% driven by increases in three of our five segments. FX was substantial at 4% or $74 million headwind to our revenue growth and is and also to our profitability, resulting in $0.08 negative EPS in the quarter. We expect FX to remain a headwind for the year compared to our prior expectations. In all changes in foreign currency translations from April until today are estimated to have a full year 2022 impact of an incremental $0.10. M&A contributed $49 million to the top line in the quarter a product of $84 million from acquisitions partially offset by $34 million from unified brands divestiture. We saw organic growth across the U.S. and Europe, Asia was flat organically in the quarter as China was down 4% driven principally by COVID lockdowns, offset by growth in other parts of the region. Our businesses in China have resumed operations and we are currently seeing recovery in production and regionally sourced components. On the bottom of the chart, bookings were down year-over-year primarily due to foreign exchange, and a one-off $74 million debooking in beverage can making due to customer financing limitations. Likewise, our backlog was negatively impacted by the aforementioned debooking, as well as a negative impact from FX. Let's go to the earnings bridges on Slide seven. Before I get into the charts, I want to remind everyone we now exclude the impact of acquisition amortization accounting from our segment earnings, which avoids a deal related noise quarter-to-quarter and better aligns the basis of our segment earnings presentation with our consolidated adjusted EPS. This change had no impact to our GAAP earnings or adjusted EPS. Now to the charts. Segment earnings were up $9 million in the quarter, on improved volumes and price costs, though partially offset by supply chain constraints and foreign exchange headwinds. Segment margins were down 80 basis points. Adjusted net earnings improved by $10 million driven by higher segment earnings and favorable corporate expenses partially offset by higher taxes. The effective tax rate excluding discrete tax benefits was approximately 21.5% for the quarter comparable to the prior year period. Discrete tax benefits were lower than the prior year at $4 million in the quarter or approximately $0.03 of EPS. This compares to discrete tax benefits of $0.08 in the second quarter of 2021. We expect our back half tax rate to be in the range of 21% to 22%. Our cash flow statement is on slide eight. Free cash flow declined in the first half of the year driven by working capital investments in inventory necessitated by the high backlog. Supply chain constraints exacerbated by input shortages preventing completion of some work in process inventory in the quarter, as well as higher receivable balances on growing sales. The quarter also included $43 million tax payment related to the sale of Unified Brands. Capital expenditures were up year-over-year and are principally in support of our robust growth expectations across several businesses. Free cash flow was 6% of revenue in the quarter and would have been 8% excluding the UB tax payment. We expect cash conversion to improve in the second half of the year more in line with typical cash conversion seasonality in our businesses, driven by earnings, conversion and inventory reductions. With that, I'm going to turn it back to Rich.
Richard Tobin: Right. Thanks Brad. Let's go to Slide nine. This slide is our current view of the demand outlook operational environment and margin drivers for the remainder of 2022 by segments. We expect top line and engineer products to remain robust based on elevated backlogs and implemented price increases. Vehicle services continues to see a constructive demand environment across all geographies with particular strength in North America. Demand for refuse collection vehicles and parts remains very strong, and our connected collections digital businesses significantly outperforming expectations. Our backlog includes fully implemented price actions that support the projected recovery and margins we expect volume productivity and improved price cost spread to be positive drivers of earnings accretion and margin improvement in the second half of the year. Clean Energy and fueling, we expect to see robust growth in the second half of the year after a roughly flat first half. We continue to see solid demand in North America for below-ground retail fueling, fuel transport vehicle wash and software solutions. Our acquisitions and clean energy components continue to outperform their year 1 acquisition models, and we have already begun to deploy capital in these businesses to expand capacity and improve productivity. We expect margin performance to improve in the second half on stronger volumes and mix, which will drive improved full year margins in this segment. We expect volumes in Imaging & ID to improve as component shortages is with China recovering from second quarter COVID shutdowns. We continue to work to identify alternative electronics providers to alleviate component bottlenecks going forward and we're beginning to see some inquiries and approve order rates for large scale printers and digital textile printing at positive development and industry that has experienced a prolonged recovery. We expect margin to improve in the second half and better volume and cost containment while keeping a close eye on FX. In Pumps & Process Solutions activity industrial pumps remain, solid polymer processing has booked several big projects to lay the foundation for a very strong second half. And we recently received our single largest order ever for the business in early July. Precision Components continues its upward trajectory in both bearings and compressor components across all geographies as investments in energy sector pickup. We expect the current below normal demand trend and biopharma to continue for the balance of the year as biopharma manufacturers finished transitioning their R&D pipelines and production systems from COVID related businesses to other growing biologic therapies. We expect Climate & Sustainability Technologies to post double-digit organic growth this year driven by its large backlog and pricing initiatives. Demand remains robust across all lines in food retail, while input shortages have hampered food retail shipments they are expected to improve, resulting in a catch up of deferred shipments into the second half of the year. Our heat exchanger businesses positioned well in strong order rates across all geographies and end markets, in particular, in the European heat pump business. In Belvac beverage packing equipment business continues to work through its record backlog. We have already been awarded new projects in Q3 to materially offset the deep working in Q2. We expect margins to improve year-over-year on volume leverage and positive price cost dynamics and normalizing supply chains. Let's go to Slide 10. I presented this slide at a recent conference, but it bears repeating, as not everyone attended the event and the topic continues to be actively debated. There is a view that booking rates of the sole predictor of demand and revenue growth and negative year-over-year bookings on top of a record 2021 are somehow spelling trouble. None of us know what the future holds, especially in the current environment, let's level set on the basics here. First, if you look at our revenue and bookings, they've historically been correlated. But because of demand wave coming out of the pandemic, coupled with extended lead times from supply chain issues and some change in product mix, our bookings jumped in 2021 to $9.4 billion, well ahead of our revenue last year and our guide for 2022 revenue. That resulted in backlogs that are at record highs, roughly double where they have normally been on a 12 months revenue basis. That, over time, should come down, which is healthy because it means we lead times are coming out and global supply chains are improving. Our backlog is sufficient to feed revenue growth for a significant period. And it's worth noting that our backlogs midway through the year are still higher than they were at the beginning of the year. And despite a decline in bookings our book-to-bill ratio so far this year is still above one and in line with historical trends. Our current booking and backlog trends should position us to enter 2023 on solid footing. Let's move to slide 11. And we show historical first half versus the second half margin performance. Historically, Dover has generated higher margins in the second half of the year. Last year was an anomaly as input inflation and supply chain constraints and COVID shutdowns hit the second half. Our sequential margin trajectory is upward and progressing largely as expected, and we remain confident that about the positive second half margin dynamics in line with historical seasonality, although I would note that Q4 will contribute more to absolute profits than normal on backlog and order timing and as we liquidate a large work in progress balances in inventory. Make no mistake; we remain concerned with the inflation trajectory and general macro backdrop and the different demand scenarios that are possible in 2023. We have a playbook to act decisively to adapt both from a cost structure and working capital perspective of the different demand conditions. But sitting here today, looking at our backlog, significant portions of our portfolio were sold out for 2022. So we would expect the order rates to inflect positively as we go into the second half. We have levers that are not demand dependent. We have positive contributions from our organic capital deployment and productivity initiatives in our four enterprise pillar efforts will positively contribute to next year's earnings. We also have very interesting and underappreciated portions of our portfolio where secular demand growth will outperform the broader industrial market. In closing, I'd like to thank my colleagues around the globe for their continued dedication to strong performance in a demanding operating environment. And Jack, I'll hand it back to you, and we can get to the Q&A.
Operator: [Operator Instructions] We'll take our first question from Andrew Obin with Bank of America.
Andrew Obin: Hi, guys good morning. Just you mentioned FX impact in the quarter $0.08, what was it versus expectations? And what is the new guide assume for FX impact on EPS basis versus the previous guide?
Brad Cerepak: Well, okay, I'll take that. Within the quarter, the impact was about $0.02 of our -- against our expectations. I said for the full year, from here forward, it would be about $0.10. And I think you're asking me specifically what kind of forecast rate are we using. I could say we're using a euro of about $1.05. Today, it's trading at about $1.02. So maybe the headwind is a little bit higher. But we'll see. We'll see what happens now going forward, especially with the ECB raising rates.
Andrew Obin: Got you. And just another question on commodities. Commodity is broadly down from their peak. So how should we think about -- you definitely highlighted that supply chain is getting better into the second half. But how should we think about that flowing into Dover cogs? Is it a 6-month lag? Is it a 12-month lag?
Richard Tobin: On the commodity side, we get the majority of it in the second half, right? So all of that has been in inventory for some period of time of what we've been waiting for is the pricing to roll forward. So we've seen a significant improvement in Q2. And the expectation is on the backlog. The raw materials being fully priced in the back half of the year and those businesses that are exposed to raw materials, and that's why we're confident about the margin accretion potential.
Andrew Obin: And is there any sort of incremental margin just as FX create some incremental headwinds? Is there an incremental margin of safety from commodity decline, as we think about towards exiting the year?
Richard Tobin: That's too complicated for me, Andrew. Over the last, what, couple of weeks, we've watched a significant devaluation of the euro against the dollar and we were modeling if that pace was to continue. it's pretty drastic. So as Brad mentioned, I think there's been some recovery and some noise out of the ECB about raising interest rates, buffering that impact. But it's -- we're going to have to see. And remember, too, that we're going to convert at average rates. So you got to be careful about taking spot rates and then trying to run the mass on the second half of the year.
Brad Cerepak: But I would just add that as it relates to price commodities. I feel good about the fact that all of our price actions are enacted going into this back half. And so we'll see what happens with commodities. I mean that's basically all we can say is, we'll see.
Andrew Obin: Rich, Brad, always a pleasure. Thanks.
Richard Tobin: Thanks.
Operator: Our next question comes from Jeff Sprague with Vertical Research.
Jeff Sprague: Hello Rich Tobin and Brady.
Richard Tobin: Jeff.
Jeff Sprague: Hey just two from me. First, Rick, just on the Belvac situation. We tend to think of the customers, Coke Pepsi, Crown, Ball, etcetera. So a little surprised to hear if somebody had a financing issue. Could you just elaborate a little bit more on what happened there? And then maybe the backfilling you're talking about is somebody stepping in and taking those slots.
Richard Tobin: Yes. I mean the -- look, capacity has been constrained and can-making for three years now, right? And that's what's been driving a lot of the capital investment by the can makers. But what you've also seen is a lot of companies that rather than go into the can makers are vertically integrating. That happened to be a particular project in Eastern Europe, which was a vertical integration play with the blow-up of the equity markets and financing conditions changed. The order got cancelled. But having said that, like I said, subsequent events, we got a $40 million order last week. So we had to debook it. That's life. None of the revenue and earnings for that particular order impact 2022. That was actually a 2023 project.
Jeff Sprague: Right. Interesting. And then just on the trajectory for the year here, I mean, clearly what you're saying about price cost and trends would indicate a sequential improvement in Q3 versus Q2, but you also are signaling a little bit more Q4 waiting? Could you just give us a little more color on how you expect the back half to play out here just to make sure we're all properly triangulated?
Richard Tobin: Sure. Look, I mean, at the end of the day, this was the quarter where we really had to chin the bar because that was the highest profitability quarter since the demerger or the spin-off that we had to chin the bar to the extent that we chin the bar considering everything was going on. This is the one we're probably most worried about this year, and we chin the bar. So my comment on just the seasonality of the back end of the year, you can see the chart that we put into the presentation. I would just caution that because of this issue about all this work in process that we have, I would expect that to continue through Q3, meaning that we're going to actually pushing a lot more out the door in Q4 than we historically have been. As you know, generally speaking, we would kind of run flat out and then run for cash in Q4 historically. The supply chain issues are not repairing themselves, at least sitting here today at the speed that would allow us to deplete a significant part of our backlog and our WIP in Q3. So it's going to move into Q4, which is all baked into the full year forecast. So it was more of a comment that'll just be not that we give a damn about quarterly results. We're a full year company here. But I think that Q4 will be higher proportionally in terms of earnings than the historical trend.
Jeff Sprague: Great. Thanks a lot.
Richard Tobin: Welcome.
Operator: Our next question comes from Scott Davis with Melius Research
Scott Davis: Hey, good morning, guys.
Richard Tobin: Hey Scott.
Scott Davis: Sharp move we saw on FX. I mean, is there a point where there's a demand destruction, challenge is, Is there and perhaps maybe framing how much of your product is kind of moving from dollar based regions to non-dollar based regions and be helpful in that regard? But is there a certain point where you start to get nervous?
Richard Tobin: Well, I'm more nervous about the European macro than I am about FX. We don't ship hardly anything from the U.S. into Europe, where we run into problems with Euro dollar of any consequence. It is a bit of a -- and I don't think that there's a significant competitive advantage that we've been taking advantage of, a lower dollar versus the euro over time. So, I don't from a demand point of view, I don't think FX is an issue. I think that European macro is more of an issue. We don't see the effects of it today. But I mean, we're not naive and things aren't great with energy costs, where they are and everything else there.
Scott Davis: And how about emerging markets, where perhaps they have to buy in U.S. dollars, the product?
Richard Tobin: Again, we do a lot of four regions in region. The products that we ship into emerging markets are most how do I want to put this? I mean there is no Asian competitor for Maag, for example. So we come under some pressure from a pricing point of view, maybe in the future if we assume that currencies -- the dollar remains strong against emerging market currencies. But right now, I think that between some of the bigger capital goods side, like the Maags and the Belvacs of the world, I think we can weather that.
Scott Davis: Okay, and then just quickly last, the printing ID business, any of your consumer goods, customers, delaying orders or talking about, any slowdown demand there?
Richard Tobin: No, not really. I mean we just had some operational problems. We in Q2. I mean we are levered from a production point of view to Asia, to China specifically. So we've had some mission. We had to shut our operations down there in Q2 for a period of time during the lockdown. And we are caught up in some of the supply chain on electronics components there that we ended the quarter with a decent improvement there. So I would expect that at least on the on the printer portion of the business will catch up in the second half. We do not see a deterioration on the consumable side.
Brad Cerepak: I'd say we lost in that segment about four points of growth, because of the shutdowns in China and the component supplies within that business, which catches up in the back half.
Scott Davis: Okay. Thank you, Brad. Thanks, Rich. Take care.
Richard Tobin: Thanks.
Operator: We'll go next to Joe Ritchie of Goldman Sachs.
Joe Ritchie: Thanks. Good morning, everyone. Rich, can we start on pricing and the expectation? First for the rest of the year, I think you used up at six points of price this quarter. And then there's a lot of discussion right now around base metal prices are deflating. How are companies -- are companies going to have to give back some pricing as commodities deflate? Can you maybe just provide some context for how that's going to work across your business?
Richard Tobin: Yes, it's going to be an interesting dynamic and number one. Price cost, inflects materially positive in the second half, all of our pricing is done for the year. So what -- any pricing action we're taking now is more of a 2023 issue. Raw materials costs are coming down. We are not, we didn't reprice our backlog, into the headwind. And we have no intention of repricing our backlog into the tailwind. And that is something that's been an active dialogue with our customers now for seems like forever. But I guess, the last year if prices have to come down, because raw materials are deflating, that's actually positive to margins. Because, if we look at price cost on a rolling 12-month basis, you basically took a big headwind in the back half of last year into the Q1 of this year, and then you get a tailwind in the balance of the year, end up mostly, at least on the capital goods side, a net neutral over time. It's just you have the spread between the liquidation of the backlog timing. So if it comes down in pricing, yes, it is a headwind to revenue, but it's actually a positive to operating margin.
Joe Ritchie: And maybe this kind of following up on the piece of the business, it's not backlog sensitive. So most of most of your business, right, this short cycle piece, would you expect to be this, in a deflationary backdrop, dollar neutral, would you be dollar positive, I’m just trying to trying to get a sense when you get to keep some of it as we kind of progress over the next 12 months.
Richard Tobin: Yes, on the short cycle portion of the business, I wouldn't expect that there's not that dynamic of input cost tied to market pricing. I mean, that's really the capital goods portion of the business, both us ourselves and our customers. That is an on-going dialogue, just because of the proportionality of the input costs. And you can see what the diamond is on the raw material side and the short cycle portion of the business. There is not that direct link. So I mean, barring the competitive environment big becoming incredibly aggressive in 2023, I would expect, it's our intention to keep the pricing that we've laid in.
Joe Ritchie: Got it. No, that's helpful. If I could just squeeze one more in. Just the fund process margins finally saw some degradation this quarter, you guys have been kind of calling out mix in that business for the last couple of quarters. Is this kind of like the right new level, this like 31% type margin? Do you expect further degradation in the coming quarters?
Richard Tobin: Yes. Look, I mean, let's not get into quarter-to-quarter performance. I think that we've been clear over the last 18 months or so, that 30% margin is pretty much the new normal. There'll be some volatility quarter by quarter, clearly, based on mix. And it's not all bad at the end of the day. I think on the biopharma side, the demand as our customers convert is going to be slow, as I said, in the second half of the year. We believe in terms of our ability to retain our share of that marketplace is absolutely solid we're speced [ph] in and a significant amount of our customer base. So it's just as biopharma transitions. And remember, too, there's other portions of that business that are dilutive to that margin. So when we post organic growth number, I believe it was 7% more or less in DPS for the quarter. A lot of that growth was from the industrial component side, which is dilutive to that margin. We don't try to manage segment margin. Basically, we're pushing all these companies as much as we can. So if we have dilutive mix, that's not necessarily a bad thing. We want every piece of that segment to grow over time. And we're actually quite pleased with the performance of Maag. As I mentioned, that is its backlog is going up well into '23 now and the turnaround that we're seeing in Precision Components, which is levered to the energy sector.
Joe Ritchie: Makes sense. Thanks, guys.
Operator: We'll go next to Steve Tusa with JPMorgan.
Steve Tusa: Hey, guys, good morning. Just to be clear, on kind of these price cost questions, I think, I think Andrew was trying to ask about when you guys would see deflation, given where commodity prices are today, I interpret your answer as it's not like you're seeing it in the second half, that's more price catching up with the inflation. So at what point would you see lower steel, lower copper, run through your revenue line item? Six months, nine months, 12 months? Like what's the timing on that? Just to be clear on that answer?
Richard Tobin: Sure. I guess now we're going to go operating company by operating. I'll give you two examples. I mean, I think in [Indiscernible] because that has got an inflator deflator that probably rolls every 90 days or quarterly, you would begin to see that a little earlier. Its net neutral, in [Indiscernible] in terms of its operating margin, or its performance. And the other capital goods sides specifically on ESG, we wouldn't see that until mid-next year, probably based on backlogs.
Steve Tusa: Right. So kind of blended for the cap goods businesses, 6 months?
Richard Tobin: Yes.
Steve Tusa: Okay. Yes. So beginning to give next year. So you're not seeing that in this year as a point and that's mostly price catching, right?
Richard Tobin: I think it's completely manageable. I mean the -- the issue is going to be what happens to the competitive environment going into 2023, and we'll see there depending on what demand looks like. For us, I like where we stand in terms of our competitive stacks, right? The vast majority of our business have very few global competitors, and I don't expect to see if demand comes down, then you've got some significant headwinds in terms of the pricing environment from a competitive point of view outside of what's happening in raw materials.
Steve Tusa: Got it. And then just a question on orders. Your reported orders, including that the backlog, the cancellation. So are you saying that those orders next in the third and -- or just the run rate for the second half that those will actually be up sequentially because of that impact of the $75 million or whatever it is or maybe you can just follow on what sequential orders.
Richard Tobin: What I can tell you is that the bar that we had to chin for margin and operating profit and order volume was Q2, right? So we've been guiding for a year now that this can't go on forever and orders are going to come down. But if you noticed, I'm sure you did, that our backlog didn't deplete at all. And I think what Brad was trying to call out; you got to be really careful going forward here because FX has an impact not only on revenue and profit translation, but on balance sheets also. So -- and Roland over to take care of that over time. Again, I'm not worried about our orders. I mean we've got a significant portion of our portfolio that's sold out for the year.
Steve Tusa: Right. So can book-to-bill be above 1 on a reported basis for the next couple of quarters?
Richard Tobin: Can it be? Yes.
Steve Tusa: Okay. Is that in your forecast? Anything can happen here.
Richard Tobin: Perfectly frank, I don't -- we don't measure projected book-to-bill, right? We've got revenue forecast and earnings forecast, but no one is running around trying to count orders into the future.
Steve Tusa: Except us.
Richard Tobin: Yes. Well, we had a discussion around here about book-to-bill orders and backlog, whether that's too much is too much. But at the end of the day, look, this notion that order rates coming down is somehow a precursor of 2023 demand. I think I'd be very careful about that.
Steve Tusa: Okay, thanks.
Richard Tobin: You’re welcome.
Operator: We'll go next to Andrew Kaplowitz of Citi Group.
Andrew Kaplowitz: Good morning, guys.
Richard Tobin: Good morning.
Andrew Kaplowitz: Rich, maybe just to follow up on that. Can you give us a little more color into the puts and takes of your revenue guidance for the year? I know we just talked about currency and length, but you actually raised your organic growth guide for the year despite lowering expectations a little bit in DII and DPS. Does your higher organic growth forecast come from more momentum in specific businesses, DP, DCF? Or is it more confidence in supply chain easing?
Richard Tobin: Well, let's see. Number one, the back half is actually an easier comp. I repeat myself again, Q2 was the comp that we had to chin and we actually grew over Q2. So if you take -- if you look at the growth that we posted for Q2, which was the highest bar that we had to chin. If you take a look at what happened in the second half of last year, right, in terms of absolute growth, we're in pretty good shape there. Brad went through what our estimates are on FX, and we're going to be like everybody else, we're just going to have to watch that as it progresses through the year. And look, if you take a look at our cash flow, which is negatively impacted by largely inventory, we've got a significant amount of not so much finished goods, but a lot of raw materials and whip. And our intention is to convert a significant portion of that, which means selling it at the end of the day, again, our backlog which is -- which drives the top line, and we are going to run like crazy between now and the end of the year to liquidate that inventory position, which should be really good for the cash flow going forward. I mean, the 1 watch point is going to be how much we ship in December and whether that gets hung up in receivables or not. But you know what, that's relevant, quite frankly, it's a timing difference. We're looking at the 1 that we're driving at the most is we've got to clear that whip out of inventory, which would have the knock on effect of clearing the raw material position that we have.
Andrew Kaplowitz: And then, Rich, or Brad, maybe I can follow up on the cash flow. Obviously, you had your initial cash flow guide out there, 13% to 15% of sales. I know cash flow improved sequentially. But as you were just talking about, Rich, seems pretty back-end loaded. Any update on sort of that original guidance or how to think about cash flow conversion over the next couple of quarters?
Richard Tobin: I look at -- Andy, it's basically what I said, right? There's nothing changed here about the cash flow dynamic. Our earnings are going up for the year. That's a positive. We have brought in more inventory because of all these supply chain issues. I'm not worried about it because our inventory position proportionately against the backlog that we have is fine. We're going to watch a significant portion of the inventory in the second half of the year. What happens in payables and receivables based on timing and everything else. I think the only watch point would be on the receivables balance at the end of the year, but then the world doesn't end on January 31, I'm not calling out that we've got an issue with the guidance, and we're going to drive towards making it. But look, I think from a cash flow point of view, we're in no different position than we've been in the past and our earnings are higher.
Andrew Kaplowitz: Appreciate it Rich.
Richard Tobin: You’re welcome, Andy.
Operator: Our next question comes from Josh Pokrzywinski, Morgan Stanley.
Josh Pokrzywinski: Hey good morning guys. Rich, you mentioned there, I apologize I jumped on the call a couple of minutes late. Watching Europe maybe a little bit more closely than kind of worrying about macro at large. Anything in terms of progression through the quarter order rates, mix of business? I know there's a couple of particularly economically sense of the businesses there. I would think the retail fueling when you $8 a gallon gas maybe isn't feeling awesome. But anything there that you guys you feel a need to point out?
Richard Tobin: No, nothing. It was just a comment on a watch item where I think the question was more, are we more worried about FX. FX is what it is at the end of the day. I don't think it changes the dynamic where we think it's a headwind of our ability to compete in the Euro zone because of some -- we're shipping dollarized products into Europe, we don't. Clearly, Europe, from a macro point of view, is a watch item. We're not naive here. We don't see it yet, but we're paying very close attention to it. And then we run a variety of scenarios depending on what we think could happen to demand, what we do to our cost structure. And that was the comments I made in the presentation of we've got a playbook here that says when things start moving, how quickly we can move and we believe that we can move faster to the macro balls.
Josh Pokrzywinski: Got it. That's helpful. And then I guess maybe some out a little bit more strategically. You've been talking about near-shoring or kind of broader supply chain investment by the industrial world for a while now. At the same time, you're seeing some of that, I guess, start to improve. Anything that you think with improvement people sort of forget about or move on from? How are you guys thinking about this transition maybe from like triage mode to how you want to address some of the supply chain issues on a longer-term basis?
Richard Tobin: Yes. Look, I mean we've been the recipient, unfortunately, in the first half of the year of our own suppliers going through that transition, which has led to some of the headwinds that we've seen. So I think from a longer-term perspective, it's healthy. So you see quite a bit of capital investment going in let's call into NAFTA for lack of a better word, but that's -- these are industrial products, and they're not easy to move around, and we're all kind of going through that transition. Interestingly, from a CapEx point of view, our CapEx-related businesses are very strong. So the order rates that we're seeing in Belvac and Maag and what's going on in Precision Components and what's going on in Refrigeration. Those are all, let's call them, CapEx-related businesses. And from a backlog perspective and a demand perspective, I mean, they're all sold out for the balance of the year, and we're actually booking into 2023. So I know there's a big debate going on out there between consumer recession versus industrial recession. The CapEx sitting here today, I think that we're more positive than negative in terms of CapEx demand or CapEx-related demand going into 2023.
Josh Pokrzywinski: Makes sense to me. Thanks.
Richard Tobin: Okay. Thanks.
Operator: Our next question comes from Deane Dray with RBC Capital Markets.
Deane Dray: Thank you. Good morning everyone.
Richard Tobin: Good morning.
Deane Dray: Maybe we'll just stay on that same CapEx theme. Any change in your thoughts regarding CapEx spending expectations for the year for you guys?
Richard Tobin: Our own, no. No. I think that what we have modeled in for ourselves through the year is we're all done. So I mean I don't think we could we can't spend what we've got in the plan now. So no, I don't think barring a customer showing up and saying, I want X, which clearly we would invest behind right now, I think that we're done in terms of commitments we and you'll see it reflected in the cash flow as we go through the balance of the year.
Deane Dray: Got it. And in reference to the early discussion about counting orders, can you talk a bit more about that single largest order. You said it was in pump in process, what the application is, how competitive and how might the margins shake out versus the segment normalized average?
Richard Tobin: It's polymer processing where the order came from. It's in Asia and it's slightly dilutive to the consolidated margin but still very good margin.
Deane Dray: Got it. And how competitive was that?
Richard Tobin: It's -- they're all competitive. Having said that, it's better to be competing with against two other people versus 10 people. And by and large, the vast majority of the portfolio is competing against two or three people. So it's competitive, but not crazy.
Deane Dray: That's helpful. And just last one, if I could. Last quarter, when we talked about pricing, Rich you said you might be pressing more along the lines of surcharges? And how has that played out?
Richard Tobin: What, I don't -- I think that because of the dynamics of raw materials, we haven't had to do surcharges since then. I think it was an option that we were -- we are basically -- I think that when we had the discussion last time as we've done a significant a lot of pricing here. That's all modeled in the roll forward for the balance of the year. So kind of like our pricing was done, assuming what we have in our EPS forecast. And that I think the response to the question is, well, what if we see input costs go up again, what are you going to do. And the answer was, at this juncture, we'd probably take a look at doing surcharging. We've done some but very little. Because of the fact that we haven't seen a degradation, we actually it's more of a tailwind going forward input cost than it's been a headwind over the past year.
Deane Dray: That’s really helpful. Thank you.
Richard Tobin: You’re welcome.
Operator: Our next question comes from Brett Linzey with Mizuho.
Brett Linzey: Hey good morning all.
Richard Tobin: Good morning, Brett.
Brett Linzey: I wanted to come back to capital deployment. You made a comment about proactively evaluating other various alternatives. Could you just put a finer point on that? Is it buybacks, special dividend? What's all under consideration? And then if it is the buyback, would you consider levering up or was this just a balance between bolt-on buyback and free cash flow?
Richard Tobin: I think that the capital markets would have to get pretty green before we levered up to do it. So it was more on deployable cash flow, meaning that if we were -- if our pipeline from an inorganic point of view was low that we would not sit on our projected cash flow balances for a prolonged period of time. And so then we have optionality for capital return to shareholders. Our bias there is share repurchase over doing a special dividend as we sit here today. But that's always a discussion with the Board of Directors.
Brett Linzey: Okay. Great. And then just shifting to the European pump business there. How large is that on a run rate basis currently and I know the order rates have been pretty good there. But can you just speak to the scope of further opportunity in that business, and then specifically, how Dover is competitively positioned for the opportunity?
Richard Tobin: Yes, we don't really get into giving out revenues by segment because that's a slippery slope that these conference calls the last thousand years. It's a good -- it's material to the full year revenue. I think the reason that we called it out was the scale of the particular purchase order as a proxy for kind of CapEx demand going forward. So it's a good order proportional to the revenue. That business is sold out for the year. So it's all 2023 that we're booking for now. So it's a precursor for the solidity of that particular business' revenue stream going into 2023.
Brett Linzey: Got it. Thanks, I’ll pass it along.
Richard Tobin: All right. Thanks.
Operator: Our final question comes from Nigel Coe with Wolfe Research.
Nigel Coe: Good morning. Thanks for the question. Just I thought it would be useful to go back to the guide, maybe Brad, this is for you. So $0.10 from FX headwinds at current plan rates. It sounds like that's offset by a point better organic growth. Is there anything else in the plan that's moving around seems like taxes coming in a bit better. But anything on corporate, etcetera, that we should bear in mind?
Brad Cerepak: No, I don't think so. I think corporate was a little bit favorable in the quarter for reasons of booking accrual rates and things of that nature, but corporate kind of gets back to a normal pace in the back half of the year. As I said, the headwinds is $0.10 versus our last expectation. That's built into our guide, same as it is on the revenue side. So revenue and earnings are reflective of what we said was our current thinking about FX rates. The organic increase, another way to think about that is we chin the bar in Q2. We had a good Q2. We see that helps us for the full year as well and solidifying price is also helpful. So there's no huge movements there. It's more refinement than anything else.
Nigel Coe: Okay. Great. That's great. And then, Rich, maybe for you or expansive question on Europe. The sort of the top-down view on Europe is dismal. The micro sort of company data is actually coming in a lot better. It's a little bit surprising. So just wondering what you're seeing on the ground in Europe. And I'm just wondering how concerned you buy prosper gas rationing NG inflation? And are you seeing anything sort of unusual in terms of behavior from customers in Europe right now?
Richard Tobin: Nothing unusual. I mean we -- Europe is probably more levered for export than NAFTA is for us. So it's not the proportionality of Europe for Europe is actually lower than it is for NAFTA, which proportionately is very high. So there is a bit of a buffer there. So I mentioned before with Maag having a single biggest order European company that's shipping into Greater Asia, and that business remains strong. Look, it's hard to tell right now. We don't see a lot of negative -- negativity. We don't see any cancellations of orders that we have in backlog in Europe right now. It was just more of a -- when we talk to our customers and we talk to our employees, this isn't good and what's going to happen here. But right now, we don't see anything where things are rolling over. But clearly, we are running scenarios, a variety of them if Europe was to run into in some problems, what are we going to do? And like I mentioned before, I think that we've got a playbook that allows us to protect operating margins under a variety of demand scenarios. And I think we proved that in 2020. We would just run that same playbook back again. But I mean I wish I could be more specific. Right now, everybody is concerned on what's going on in the macro in Europe, but we don't see it rolling to a situation where it's overly negative yet.
Nigel Coe: Sounds great. Thanks Rich.
Richard Tobin: You’re welcome.
Operator: Thank you. And that concludes our question and answer period in Dover's Second Quarter 2022 Earnings Conference Call. You may now disconnect your lines, and have a wonderful day.